Operator: Good afternoon, and welcome to the Cyclacel Pharmaceuticals’ Second Quarter 2021 Results Conference Call and Webcast. At this time, all participants are in a listen-only mode. After today's call, members of the financial community will have an opportunity to ask questions.  The company will also be accepting a limited number of questions submitted via e-mail to the address ir@cyclacel.com.  Please note today's call is being recorded. I would now like to turn the conference over to the Company.
Unidentified Company Representative: Good afternoon, everyone and thank you for joining today's conference call to discuss Cyclacel's financial results and business highlights for the first quarter ending June 30, 2021. Before turning the call over to management, I'd like to remind everyone that during this conference call, forward-looking statements made by management are intended to fall within the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 and Section 21E of the Securities Exchange Act of 1934, as amended. As set forth in our press release, forward-looking statements involve risks and uncertainties that may affect the Company's business and prospects, including those discussed in our filings with the SEC, which include, among other things, our forms 10-Q and 10-K. These filings are available from the SEC or our website. All of our projections and other forward-looking statements represent our judgment as of today, and Cyclacel does not take any responsibility to update such information. With us today are Spiro Rombotis, President and Chief Executive Officer; Paul McBarron, Executive Vice President, Finance and Chief Operating Officer; and Dr. Mark Kirschbaum, Senior Vice President and Chief Medical Officer. Spiro will begin with an overview of our business strategy and progress on Cyclacel's multiple clinical programs and Paul will provide financial highlights for the first quarter of 2021, which will be followed by a Q&A session. At this time, I'd like to turn the call over to Spiro.
Spiro Rombotis: Thank you, Arena, and thank you, everyone, for joining us today for our second quarter and business update call. On our last call in May, we reported on FDA clearance or IND for oral fadraciclib, or fadra for short, in a streamlined phase 1/2 clinical study designated 065-101 in patients with advanced solid tumors. We are pleased to report that in July, we dosed our first three patients in this trial, which is led by prominent oncology thought leaders. We are excited to have this study up and running and believe that fadra has the potential either as a single agent or in combinations to become an important new therapy for the treatment of advanced solid tumors. Having this described in detail the framework for our clinical trial designs for both fadraciclib and CYC140 on our prior quarterly call, we would like to discuss today our overall strategic direction in developing innovative oncology medicines that focus on cell cycle inhibition. We'll also address why we believe investors should be interested in following our progress over the next several months. There is a large universe of development stage oncology focused companies all working diligently to provide cancer patients with safe and effective alternatives. It may therefore be useful to explain how the unique biological and mechanistic properties of our two leading drug candidates differentiate our pipeline as a unique pure play in cell cycle inhibition for the treatment of cancer. Our mission is to relentlessly pursue therapeutic innovations which can serve unmet patient needs. We do so by converting insights in the biology of cell cycle control into novel oncology medicines. The development of Fadra is a prime example of this approach. Fadra is a highly selective second generation inhibitor of cyclin dependent kinase or CDK, and is differentiated by its ability to inhibit both CDK-9 and CDK-2. Well, CDK-9 plays a central role in regulating gene transcription within normal cells, it is upregulated in many cancer cells, including biliary tract, colorectal, liver, women's cancers and also in leukemias and lymphomas. It leads to over expression of select proteins such as MCl-1 and MIC which block apoptosis, or program  of cancer cells, and in turn helps propagate their survival and growth, inhibiting CDK-9 unblocks the body's apoptotic machinery, allowing the immune system to dispose of cancer cells. Recent advancements in our understanding of the biology of CDK-2 to Fadra second target have led to increased recognition of its role in cell cycle control and its impact on resistance pathways. Inhibiting CDK-2 can overcome resistance of cancer cells to treatment, which arises when such cells become addicted to cyclin E, the partner protein of CDK-2. Cyclin E plays a key role in the evolution of resistance in many malignancies, and in particular women's cancers, including breast, cervical, endometrial/uterine and ovarian. In addition, CDK-2 syndicated to contribute to faster recovery of MCL-1 one protein levels in complimentary fashion to CDK-9's on MCL-1 further justifying our choice of fibrous target profile to inhibit both CDK-2 and 9. In prior clinical testing of Fadra as a single agent, targeting a CDK-2 and 9 has resulted in durable suppression of MCL-1 and anti cancer activity, including durable PR with 100% shrinkage of target lesions in MCL-1 amplified endometrial cancer. Our second drug candidate CYC140, 140 for short, also disrupts progression of the cancer cell cycle by inhibiting Polo Like kinase 1 or PLK1 at low nanomolar potency, thus interfering with multiple stages of cell division, or mitosis. PLK1 plays a central role in mitosis, and is an important regulator of the late cell cycle checkpoint in normal cells. When over expressed, however, PLK1 becomes oncogenic, causing cellular transformation and overriding the cell cycle checkpoint. Unlike normal cells, cancer cells cannot tolerate loss of PLK1 and undergo apoptosis. PLK1 inhibition helps restore checkpoint control and is therefore considered a promising therapeutic strategy. We believe that 140 is differentiated from previous and current PLK1 inhibitors, among others, by its PLK1 family selectivity, intravenous and oral administration and best in class short half life. It shows selective target inhibition, impressive preclinical efficacy and cures in human solid tumor and leukemia xenografts respectively, at non-toxic doses and also both oral and intravenous forms were found to be highly potent in xenograft animal models.  We have treated seven leukemia patients with escalating doses of intravenous 140 and have observed anti-under leukemic activity at the third dose level. Optimal biological dosing of a PLK1 inhibitor is likely by daily oral administration. Protecting cancer patients from exposure to viral infection if they receive intravenous therapy at an infusion center also supports using oral 140, which they can receive at home. Similar to our strategy of developing an oral formulation of Fadra, we believe that oral administration or 140, will lead to more consistent pressure against this enzymatic target of PLK1 versus the IV formulation or 140. We are currently completing toxicology studies, oral 140 and are planning to open to phase 1/2 studies in both solid tumors and leukemias. To summarize, we're very excited about the potential of our pipeline. We believe both Fadra and 140 hold the potential to position Cyclacel as the leader in developing next generation anti-cancer therapies that originate from South psychobiology. Let us now turn to what investors can expect in terms of clinical study initiations and possible data readouts over the next 6 to 12 months. We expect to those our first patient with oral Fadra in the phase 1/2 leukemia study, designated 065-102 in the second half of 2021. This study has the same trial design as a solid tumor, 065-101study that just launched. The leukemia protocol provides for three plus three dose escalation to determine the recommended phase two dose and remove immediately to the phase two part across multiple cohorts, both as a single agent and in combinations. We recently received FDA clearance to proceed with a Fadra leukemia study. Toward the end of 2021, we also plan to dose the first patient with oral 40 in the phase 1/2 advanced solid tumor study, designated 140-101 following a similar trial design as the fadra program. In the first half of 2022, we plan to dose the first patient with oral 140 in the phase 1/2 leukemia study, designated 140-102 and also hope to report initial data from the Fadra or 065-101 and -102 studies. With capital on hand, estimated to last through early 2023 we have the resources to deliver key milestones in our clinical studies. I’ll now turn the call over to Paul to review our second quarter financials. Paul? 
Paul McBarron: Thank you, Spiro. As of June 30, 2021 cash and cash equivalents totaled $43.6 million compared to $47.8 million as of March 31, 2021. The decrease of $4.2 million was primarily due to net cash used operating activities. Research and development expenses were $4.1 million for the three months ended June 30, 2021, as compared to $1.2 million for the same period in 2020. Research and development expenses relating to fadra increased by approximately $1.9 million for three months ended June 30, 2021 with the start of the solid tumor and the firm study 065-101 and preparations for opening of enrollment of the 065-102 study, or fadraciclib and leukemias. Additionally, R&D expenses related to 140 increased $1 million for the quarter as IND directed activities are completing and clinical trial supplies are being manufactured. General and administrative expenses for the three months ended June 30, 2021, was $2 million compared to $1.3 million for the same period of the previous year due to costs of approximately $0.4 million related to the exit from a long term facility lease, increasing legal and professional expenses and recruitment costs related to expansion of the clinical team. United Kingdom research and development tax credits were $1 million for the three months ended June 30, 2021, as compared $0.3 million to the same period in 2020 due to the increase in R&D expenditure eligible for the R&D tax credits. Net loss for three months ended June 30, 2021 was $5.2 million, compared to $2.2 million for the same period in 2020. The company estimates that cash resources will find planned programs through early 2023. Operator, we are now ready to take questions. 
Operator:  And we will take our first question today from Jonathan Aschoff with ROTH Capital. Your line is open.
Jonathan Aschoff: Thank you very much, Spiro regarding the sights for the phase 1b/2 solid tumor fadra trial how do you see enrollment unfolding in the phase 1b portion? Hello Spiro?
Spiro Rombotis: Hi, Jonathan. Momentarily disconnect issue. I think this is a question for Mark Kirschbaum. Mark, would you like to take this question?
Mark Kirschbaum: Yes. I'd be really happy to take this question. So this is a very exciting time for us. And it's very exciting time to the trial. Let's just answer your question by saying that enthusiasm for enrollment on the study has been extraordinary. We enrolled our first cohort within the first week of opening it and we already have a waiting list for the for second cohort that will be opening shortly. So looks good. As good and can be done in a trial.
Spiro Rombotis: Perhaps I can add a little bit more color. As Mark explained the initial two sites, we also have the lymphoma groups within these two hospitals, which are distinct from the phase one units who are also interested in recruiting patients for the study. And we also preparing to open two more sites that are outside the United States. This of course required regulatory process to be put in place and that will take a bit longer in the second half of 2021. So we may have actually six groups by the time this study concludes, contributing patients. Hope this gives you some sense of confidence in enrollment.
Jonathan Aschoff: Definitely. Second question I have is what are the range of possible outcomes from the stage two part of the fadra solid tumor trial that could lead to regulatory discussions?
Spiro Rombotis: Thank you, Jonathan. I think we have reported on seven cohorts with specific histologies ranging from women's cancer to bile duct cancer, lymphomas and colon cancer, as well as an eighth cohort which is a basket study where patients can enroll the regardless of the tissue of origin the histological background of the cancer provided they have one macular correlates that remains the drugs mechanisms such as amplification with MCL-1 . This means that we have eight shots on goal in the solid tumor study, which when we add the Leukemia program totaled about 14 chances to get a regulatory discussion as the end of phase two data, which typically would be a consultation with the FDA as to whether there was support potential use of the accelerator approval pathway. So we're very excited about this design, it will give us with a very efficient use of capital, multiple shots of gold and produce a range of outcome for investors.
Jonathan Aschoff: Thank you. Spiro, can you be also a little more granular in the indications that you'll target in the upcoming phase 1/2 140 trial?
Spiro Rombotis: Sure, this trial hasn't started yet. And we have not disclosed all of the target indications. I believe we have disclosed rectal cancer, where activity with this class of drugs have been seen in care as  disease, which is a very exciting development because this is an area of huge unmet medical need. And also breast cancer, which is known to be susceptible to this type of PLK1 inhibition mechanism. We expect to announce more of the histologies later on in the year. However, there are a number of sites who have already received drug and are doing preclinical studies in preparation to joining the program once the study opens. At that time, I expect will can give a lot more color on the additional indications there will be probably as many as seven as one as a basket similar to the fadra designed but not the same indications of course.
Jonathan Aschoff: Thank you very much guys. 
Operator: And we will take our next question today from Kumar Raja with Brooklyn Capital Markets. Your line is open. 
Kumar Raja: Thanks for taking my questions. With regard to the solid tumors, when will you start screening patients for the proof of concept? And will you be enrolling patients in all the cohorts parallely?
Spiro Rombotis: Thank you very much for that question. Kumar. I think again, Mark should answer that question. Mark please?
Mark Kirschbaum: Which are you asking about?
Kumar Raja: Fadra 101 yes.
Mark Kirschbaum: So as I mentioned, we've already completed one cohort dosing, and we're about to start the second dosing cohort. So we're moving along, we're ready you're screening patients. And we have quite a waiting list already. So I hope that answers your question. Once we achieve, of course, we need to have the phase 2 dose in hand the dosing schedule. So when we, once we complete the stage one part of the study, we roll automatically into the eight arms that were described to you earlier. So there's no break. There's no new protocol that needs to be written, it all goes automatically within the same study.
Kumar Raja: That sounds good. And with regard to the fadra or leukemia study, in terms of the cohorts where you are, where you'll have combinations, how are you thinking about those combinations in terms of safety?
Mark Kirschbaum: Yes, so it's going to be a similar idea. Once again, we need to really establish the best and most effective phase two dose schedule for leukemias. So we will go through that period of the study that should be opening fairly shortly. And once that's established, there will be some single agent arms, as well as the standard combination arms that have been described. And those will be part of the second phase two part of the study that again, open automatically once the phase two doses reached in the study. It's all part of one big study.
Spiro Rombotis: To Mark's answer, we've have several choices for combinants but the most appropriate and conservative strategy is to use the current standards of care in acute and chronic leukemia, which are either venetoclax or HMA drugs, including  and that's precisely what we're doing in the middle cohorts in the 065-102 leukemia protocol. And again, from a safety point of view, we have some experience with giving fadra with . We know that in a dozen patients or so with AML, and a half a dozen patients with CLL it was well tolerated. And we have seen into leukemic activity in both AML and CLL. So we have some confidence given the high or above and ability of the oral version of fadra that similar results can be obtained in a combination program. We have not had clinical experience with decitabine or combinations . But these drives tend to be a little bit less toxic than as single agents. So we feel that these are quite reasonable to propose from a safety standpoint and everything we saw that the FDA things haven't cleared our study to proceed. I hope this gives us some more color.
Kumar Raja: Yes, that's very helpful. And in terms of the fadra intravenous dosing, what's happening in that front? 
Spiro Rombotis: Well, this study is still enrolling, but we expect that patients will have a choice between oral and IV to take the IV up to now there was no oral. But this will change once the oral study opens. I think most people would understand what the pandemic prefer to have the oral drug. So we'll make a decision in the next few months as that study opens.
Kumar Raja: So, they will be able to once you have the optimal dose, they will be able to shift to the oral dosing. 
Spiro Rombotis: They could shift only if they have not been treated before. We cannot take a patient with the protocol to switch within the study. That is probably not the normal procedure. But my guess is that if we look at patients choices in both protocols are open most patients would vote for the oral.
Kumar Raja: But whoever is being on the intravenous, he will just continue to follow them.
Spiro Rombotis: At this point, yes, yes.
Kumar Raja: Thank you so much.
Operator: We will take our next question from Kevin DeGeeter with Oppenheimer. Your line is open. 
Unidentified Analyst: Hi, this is Susan on for Kevin DeGeeter. Just a couple of questions on fadra. Can you comment on the profile of the first three patients dose if you have any details? And does the company anticipate presenting at ASH? And if not, what are some of the other logical venues?
Spiro Rombotis: We have not disclosed the profile of the first three patients. Susan, I should mention that, in the context of this study, this is not a study designated for efficacy, its primary objective, the endpoint that we're seeking is, as Mark explained, recommended phase two dose. So the choice of the patients and their history is not specified by the protocol. And therefore the physicians can offer the protocol to any of their patients that they feel may benefit. So at this point, I don't think we can make any predictions about scientific conferences. But we might present data. This is something that we'll do in due course, but more likely, I would think early next year, we might have some results that would be worthwhile following up in terms of mature patient follow up.
Unidentified Analyst: That makes sense. And the second question on just what are the logical venues for data, either solid tumor or hematology?
Spiro Rombotis: I think four solid tumors would have a lot more venues, I would think ACR and ASCO, the principal ones with historical reported data, and they seem to have been terms of cadence of our clinical enrollment likely to happen early 2022, ASH of course, and other smaller hematology meetings happen at the end of the year. So that's a possibility. And we have also ASMO and the triple meeting in the second half of 2022. So there are probably four or five venues that will be logical presenting data next year.
Unidentified Analyst: Great, that makes sense. And then just one question on the PLK1 inhibitor. Can you provide some color on the remaining IND activities? And what the expected timeline for completion of the preparation is?
Spiro Rombotis: Mark there is a question for you, and perhaps Paul can help out with the timing. But first Mark?
Mark Kirschbaum: Well, we're creating a new formulation. So I think a little bit of time, we are close to being done with the toxicology studies that were required to the FDA filing, and we will be moving quickly from there. I mean, we have the state having the vertical design and all that in rapid time.
Paul McBarron: So and this is Paul. In terms of hoping to open the study we're projecting towards the end of this year. And that's clearly dependent on what Mark said in terms of toxicology studies being completed.
Unidentified Analyst: And if I may, just one last question, a general question. Does the company expect COVID-19 infection rates to impact enrollment in the second half of 21?
Spiro Rombotis: Yes. That's a huge issue for industries and all that many companies have faced headwinds. We did not experienced that in the past year in large means, because these are, of course, terminal patients facing dire choices including hospice care versus enrolling in investigational trials. So far, there hasn't been an issue. And Mark of course, is historically practicing physician, maybe he has a different perspective for what things might look like next year.
Mark Kirschbaum: Well, again, we're accruing very rapidly right now this moment. So we are waitlisted for enrollment. So I don't see that things are going to be worse in that regard. And I think particularly given COVID, where they don't require lengthy hospital stays, and where most of this care is outpatient, they just show up to receive the pills, and do whatever blood draws in the, this is a really like a perfect solution for most of these patients. It's far superior to having to come into the hospital and spend extended time in the treatment room. So we are getting very strong enthusiasm from the investigators and clearly from the patient at this time.
Unidentified Analyst: Great, thank you so much for answering your question.
Operator:  I'm showing that we have no further questions. At this time, I will turn the call back to Spiro for any closing or additional remarks.
Spiro Rombotis: Thank you. And thank you all for participating in Cyclacel second quarter 2021 call. Cyclacel is entering an exciting new period in its history. In the months ahead, investors can expect continued expansion of our clinic programs for both fadra and 140. We believe that these trials will generate encouraging data readouts throughout 2022 and early 2023. As always, we appreciate your support as we continue our efforts to deliver on our strategy and realize stockholder value. We look forward to updating you on our progress and meeting some of you at upcoming conferences either virtually or hopefully in person. Operator at this time, you may end the call.
Operator: This does conclude today's program. Thank you for your participation and you may disconnect at any time.